Operator: Good day, ladies and gentlemen, and welcome to the Q2 2013 The Bancorp, Inc. Earnings Conference Call. My name is Ayesha and I will be your conference operator for today’s call. (Operator instructions.) As a reminder, this call is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Mr. Andres Viroslav. You may proceed.
Andres Viroslav: Thank you, Ayesha. Good morning and thank you for joining us today to review The Bancorp’s Q2 2013 financial results. On the call with me today are Betsy Cohen, Chief Executive Officer: Frank Mastrangelo, President; and Paul Frenkiel, our Chief Financial Officer. This morning’s call is being webcast on our website at www.thebancorp.com. There will be a replay of the call beginning at approximately 10:00 AM Eastern Time today. The dial-in for the replay is 1-888-286-8010 with a confirmation code of 66571819. Before I turn the call over to Betsy I would like to remind everyone that when used in this conference call the words “believes,” “anticipates,” “expects,” and similar expressions are intended to identify forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements are subject to risks and uncertainties which could cause actual results to differ materially from those anticipated or suggested by such statements. For further discussion of these risks and uncertainties please see The Bancorp’s filings with the SEC. Listeners are cautioned not to place undue reliance on these forward-looking statements which speak only as of the date hereof. The Bancorp undertakes no obligation to publicly release the results of any revisions to forward-looking statements which may be made to reflect events or circumstances after the date hereof or to reflect a current unanticipated event. Now I’d like to turn the call over to Betsy Cohen. Betsy?
Betsy Cohen: Thank you very much, Andres, and thank you all for joining us. Q2 2013 is one which we think reflects the strength of our core businesses. In the prepaid area, there was an increase in card fees of 63%; operating leverage, which is often a focus of this conversation, grew by 72% or operating earnings as a result of operating leverage. Our revenues, which is a sign often of the health of the business, grew by 41% on an annual basis, and our efforts to diversify our noninterest income sources are reflected in this quarter in which total noninterest income grew by 107%. We also experienced an increase on an annual basis of 13% in net interest income in part due to the increase in the securities portfolio, and in part due on an annualized basis to our focusing on a variety of targeted lending verticals about which we have spoken in previous calls which had significant growth. SBA loans grew by 111%, security-backed lines of credit by 22% and fleet leasing by 23%. But growth is never completely linear on a quarter-to-quarter basis, and so by way of example the SBA portfolio in the linked quarter – 12/31/2012 to 3/1/2013 grew by 25% and this quarter it was flat. But the other leasing which did not [interference] 12/31 to 3/31 linked quarter this quarter grew significantly. So we think that the best way to look at this is over the course of an annual period rather than only on a linked quarter basis. We experienced during this quarter an increase in earnings per share of some 25% but that really masks the growth of 45% in net income because as a result of our issuance of additional shares in December, 2012, we had 4 million shares or approximately 12% more shares outstanding so that the increase in earnings per share, being at 25% was really a significant achievement. In the loan portfolio there was an increase this quarter, a significant increase in nonaccrual loans as a result of a single relationship, not a single credit, which we considered to be secured. And we have decided as you can see from the decrease in loans in the 90 day plus still accruing category that we are tending to put loans directly into nonaccrual instead of, even if it were to be our conclusion that they were well secured and could continue to accrue interest on a reasonable basis. We’re tending to put them into nonaccrual as a result of our desire to get through those issues that we have spoken about before, which are expensive drags on earnings in the community bank portfolio. But even that said, our increase year to year in net interest income was in fact 13% and we are seeing significant increases in pipeline, which is not always visible in this statement, in our targeted areas – for example, in security-backed lines of credit which does take a bit of time to come onto the balance sheet. Expenses increased as a result of our, what we think of as investment in the production of income. And Paul, would you like to talk a bit about expenses?
Paul Frenkiel: Sure. In connection with the significant increase in loan sales income there are direct production expenses, so you saw an uptick specifically for those expenses. And we will have those expenses to the extent we have the income, but I think it’s important to note that they’re not structural increases and won’t increase quarter over quarter over quarter.
Betsy Cohen: Except to the extent that income does increase and then we think that that’s okay. Frank, would you like to talk about the lines of business and their individual growth?
Frank Mastrangelo: Of course, Betsy. Thank you. As Betsy noted, many aspects of the core businesses continue to perform very well and are very healthy. Year-over-year growth of deposits was just about 24%; that is inclusive of exiting from a $100 million plus block of deposits in our healthcare business in Q3 last year. And if you recall, we exited those deposits because of the higher rate nature of that particular relationship. Wealth management year over year has increased deposits just about 45% and the prepaid business, 24%. From a noninterest income growth standpoint, as Betsy managed stored value increased 63% year-over-year. The total gains were 107%. The loan sale income coming from a couple of business units was very, very strong this particular quarter and added significant revenue of $4.9 million in noninterest income – a very strong quarter for that business. The dynamics of stored value this particular quarter were interesting. The year-over-year gains in gross dollar volume were just about 19% but the obviously noninterest income up 63% year over year. A couple of things there: new relationships, organic growth of current relationships, a tax season that was stronger on the backend than on the front end versus calendar year 2012 – that’s something you might have heard from others you follow like H&R Block or Wal-Mart or other folks who benefit from tax refund processing; and also added income from the layering of other third-party services across these relationships, or revenue not specifically tied to GDV – one of the things that we’ve been working on to drive more value out of the portfolio and that is of course bearing fruit.
Betsy Cohen: Thanks, Frank. I think that the only other thing I’d like to draw attention to is the improvement in many of our ratios, return on assets, return on capital. And we think those grew on a quarter-to-quarter basis and they grew on an annual basis. The net interest margin remained healthy and that’s the result in part of our being able to better control or use the excess deposit flow which we have. The efficiency ratio was flat on a quarter and a six-month basis but down significantly, about 700 basis points on an annual basis. Booked value was up significantly and I think that all of those performance measures are good news on a future looking basis. With that I would like to, Ayesha, open up for questions.
Operator: (Operator instructions.) Your first question comes from the line of Matthew Kelley with Sterne Agee. You may proceed.
Matthew Kelley – Sterne Agee: Good morning. Frank, I was just wondering if you could give a little bit more detail on kind of pricing and talk about the stored value income relationship to GDV and how that’s tracking on new relationships, and you know, where we stand relative to the 13 to 14 basis point trend in the last couple of quarters? That’s the first question.
Frank Mastrangelo: Yeah, I’d say I think the new trend, the uptrend in noninterest income to GDV, as I mentioned, Matt, we’re driving more revenue that’s really not a function of GDV but rather other services we can overlay, provide the PMs that are necessary to facilitate their business. And I think that that’s a trend that will continue and a revenue line item that will continue to grow. So the net effect of that should be continued increases of that relationship income to income to GDV.
Matthew Kelley – Sterne Agee: Okay. And GDV was about $7.7 billion?
Frank Mastrangelo: GDV was…
Matthew Kelley – Sterne Agee: Was it 19% over the last year or was that…
Frank Mastrangelo: Sorry, yeah – GDV was $7.6 billion, 17.9% year-over-year.
Matthew Kelley – Sterne Agee: Okay, alright. So that relationship is now 15 basis points – is that a good run rate going forward?
Frank Mastrangelo: Q3 could be slightly weaker, primarily because of the strength of the tax business in Q2.
Matthew Kelley – Sterne Agee: Okay, gotcha.
Betsy Cohen: Yeah, I think Matt, as always we caution that the results are partially due to the mix in the portfolio as Frank is eluding to. And so it’s hard to be totally predictive.
Matthew Kelley – Sterne Agee: Gotcha. So my second question is on credit. So the big provision, $9.5 million – you did see NPAs up. Is the idea here that you’ve taken kind of a one-time more sizable provision to prepare for some NPA sales and resolutions and get credit behind you? Talk about the plan and what you’re setting up for here.
Betsy Cohen: Well, I think we are eager to put behind us those components of the community bank portfolio or those loans within the community bank portfolio that have weakness. And that is our effort. We’re eager to do that during the course of this year and to focus 2014 on simply the increase in income which we see as a result of the growth in our core businesses.
Matthew Kelley – Sterne Agee: Okay. So are you going to do some NPA sales to get those numbers down, so you can get some more normalized provisioning levels? Is that what we should expect in the back half of the year or…
Betsy Cohen: At this moment we do not have NPA sales on the horizon. We’re looking for NPA resolutions.
Matthew Kelley – Sterne Agee: Okay, gotcha. And then the securities to asset ratio continues to tick up nicely, obviously as you’re deploying the deposit inflows. What are you getting for investment yields currently and what have you been buying? And where should we expect that ratio to track over the next year from 30% currently?
Betsy Cohen: Paul, would you like to respond?
Paul Frenkiel: Sure. I think the ratio of securities to assets will continue to increase, although perhaps not as much as they have increased. In terms of the yields, as you know, Matt, we have a peculiarly low cost of funds, and in studying our prepaid contracts and studying what the reaction will be to significant increases in rates we’ll still have a relatively low cost of funds. So because of the uptick in rates, the 100 basis point uptick and even wider in municipal bonds – we see those as having a lot of value. So we’ve been going a little bit longer in those to the ten year range so we can get 4%. So that could have a very positive effect and should have a very positive effect, not only on interest income but also on our margin.
Matthew Kelley – Sterne Agee: Okay, got it.
Betsy Cohen: And we did dispose of a block, a small block of securities in which we saw some extension risk. And we did that fortunately ahead of the movement in interest rates, and so it did generate a small profit although that was not the focus of the sale.
Matthew Kelley – Sterne Agee: Okay, gotcha. I’ll hop out, thank you.
Operator: Your next question comes from the line of Frank Schiraldi with Sandler O’Neill. You may proceed.
Frank Schiraldi – Sandler O’Neill: Good morning. Just a couple of questions. First, on the lack of linked quarter loan growth – I know Betsy, you mentioned that it can be volatile quarter over quarter, but is anything else going on there that you can point to in terms of perhaps significant pay downs in the quarter?
Betsy Cohen: No, I really think it’s a matter that it’s lumpy and bumpy, one might call it that; that as I pointed out on the SBAs they grew 25% December 31, 2012 to March 31, 2013. And so one would expect more or less of a flat quarter after a growth like that. And so I think just to continue, we have said to you that we intend to keep the community bank portfolio flat while we’re growing the other components, but you know, again there are small differences that might wash out but there really isn’t anything that is happening. And something you can’t see, which I did I think mention is for example in the area of security-backed lines of credit commitments grow ahead of the balance sheet growth. So we had strong commitment growth this quarter that’s not a surefire… A surefire result may not be that there’s balance sheet growth in that area but that has been the pattern.
Frank Schiraldi – Sandler O’Neill: Also can you talk a little bit about your loan sale business? This has to go, some of this production has to go to feed that, correct? Or am I thinking about that wrong?
Betsy Cohen: I’m sorry, what has to go to feed that? Oh, you mean some of our growth?
Frank Schiraldi – Sandler O’Neill: Right.
Betsy Cohen: Yes, some of it. In fact as we grow in the SBA portfolio, one of the things that we’d like to test and I think you’re absolutely right, Frank, is the value of that portfolio. And we’re just now getting to the point where that portfolio’s mature enough to do some as we think of them “test sales” that we won’t sell every quarter but we’ll sell when the market’s appropriate and we’ll sell when we have aggregated a bit more by way of the portfolio. So it is a tradeoff between balance sheet growth and income growth, and some quarters it will balance off – our balance will be in favor of balance sheet growth – and this quarter we chose to test the market for the first time. I think what it does show about this portfolio is its real value.
Frank Schiraldi – Sandler O’Neill: Okay. Given that part of the strong year-over-year growth in prepaid for Q2 is, as you mentioned, Frank, the tax business it kind of, at least in my mind, clouds it a little bit in terms of trying to figure out the model year-over-year prepaid growth going forward. So I don’t know if it’s possible to give any sort of guidance on a GDV in the back half of the year or expectations for year-over-year growth.
Frank Mastrangelo: Well, first of all, Frank, the tax business, while it was a contributor to the strong growth in Q2 that was probably only 10% to 12%. Okay, so there were other categories. The other categories I noted also were major contributors to it, so it’s not quite as much as you might think, number one. But number two, I think as we described last quarter and in Q2 it’s going to be a very spiky year for GDV growth and it’s much harder to predict than it was last year. So I mean I’m confident in saying that we’ll continue to outpace the growth of the industry but at the same time I don’t think that we’re comfortable pegging a number right now as to where that will land.
Frank Schiraldi – Sandler O’Neill: I mean is it fair to assume, given there was greater – and again, you said it was only 10% so somewhat greater tax-related revenues in this Q2 than last year’s Q2. Is it a good assumption maybe to expect that the year-over-year prepaid fee growth declines from this number, at least from the 63% we saw in Q2?
Frank Mastrangelo: I would say probably. I don’t know that we’ll produce 63% in Q3.
Frank Schiraldi – Sandler O’Neill: Right, okay. The increase in the provision, can you tell us how much of that was related to this single relationship that increased NPAs linked quarter?
Betsy Cohen: Well, a significant portion. I don’t have the exact percentage but a significant percentage. I can find the actual percentage and give it to you offline; I just don’t have it in front of me.
Frank Schiraldi – Sandler O’Neill: Okay. So it was there. Is there any sort of issue… Well, I’m just kind of curious where these things are held at now. It seems like NPAs increased I think by around $10 million and at least the quarter-over-quarter increase in provision was about $5 million. So is it fair to assume that you’ve got reserves of about 50% against this relationship?
Betsy Cohen: I will give you those numbers offline, Frank, I just don’t have them in front of me.
Frank Schiraldi – Sandler O’Neill: Okay. And then is there any way you can sort of, just looking out over the next couple of quarters, what would be your best expectation that we return to sort of a $5 million a quarter provision? Is there any sort of guidance or expectation you can give on the credit front for the back half of the year?
Betsy Cohen: I don’t think there is but I think we have had peaks before or spikes before, and if you went back over a twelve-month period either forward or backward you would find that we average out. But we can’t be predictive here.
Frank Schiraldi – Sandler O’Neill: Yeah. I mean in general are you seeing credit, aside from this one relationship which could be a one-off, are you generally thinking that credit is improving in the portfolio? Are you seeing signs of that? Are you seeing signs of deterioration more generally?
Betsy Cohen: I think we have identified a significant percentage of our issues we believe, and that the Philadelphia market is ranked 84th among 102 markets in terms of growth. So could there be more loss or could there be more issues in it? Of course there could be, but we think we’ve been very diligent in identifying and identifying early.
Frank Schiraldi – Sandler O’Neill: Okay. And then just switching gears, what is the margin there for the loan sale business? So that $4.9 million of revenues came in this quarter – what’s the expense attacked to that?
Betsy Cohen: Paul, the number that you were referring to before – 30% of the increase, I don’t have the dollar amount. Maybe you do?
Paul Frenkiel: Right. The amount of the increase, the linked quarter increase attributable to expense directly related to those sales was about 30% of the increase if that’s the question you’re asking.
Frank Schiraldi – Sandler O’Neill: Okay. So expenses were up about $3 million overall linked quarter.
Betsy Cohen: Maybe $1 million roughly. Again, these are rough numbers but roughly $1 million against the loan sales for production and other costs.
Frank Schiraldi – Sandler O’Neill: And Paul, did you say that’s sort of an idea of a fixed ratio of production costs going forward so that you’d expect-
Betsy Cohen: No. I might just answer that and Paul can correct me, but I think, Frank, that it’s a question of where does the loan sales income emanate from – which portfolio? Some portfolios will require those costs and some don’t. Some are within the structure of our budget, not paid on a commission basis.
Frank Schiraldi – Sandler O’Neill: Gotcha. And maybe just an easier way to look at this or to think about my modeling here is to ask expenses, should we expect to go back to something along the lines of a 12%, 15% year-over-year growth rate on expenses? Or is that going to be generally a much larger growth rate going forward?
Paul Frenkiel: I think the better way to look at it, Frank, is just linked quarter because I think you’ll get to a more accurate results. So if you want to look at our expenses in Q2 try to estimate the loan sales growth; and if you estimate it to be fairly equal to what it was this growth then you can include that expense uptick attributable to those loan sales. But it’s very difficult to be predictive of loan sales income because there are a number of variables that impact it.
Frank Schiraldi – Sandler O’Neill: Okay. So that could still be ratcheting up I guess then, the loan sale income.
Betsy Cohen: It could be ratcheting up or down. I mean in some areas the market determines that by the spread that you get. In some cases the bank production determines it by the volume we generate. I mean as Paul is saying, those are just two of the variables.
Frank Schiraldi – Sandler O’Neill: Okay. Just finally I wanted to ask Paul if you could, I’m sorry if I missed it but in terms of the strong securities growth linked quarter what is going on the balance sheet? What sorts of securities?
Paul Frenkiel: It’s primarily municipal bonds. We have an intense, and notwithstanding the Detroit bankruptcy the vast majority of municipal bonds are the strongest types of credits you can get regardless of sector. And we have, in addition to our own credit review we actually have specialists and that’s all that they do, is analyze municipal bonds credit. So the yields are very attractive right now. We’ve been buying in the ten-year range at about 4% so that’s going to be very helpful to net interest margin and net interest income and the efficiency ratio.
Betsy Cohen: And Frank, if you did miss it one of the reasons we have chosen this sector apart from credit is that our cost of funds, and therefore the disallowance is so low that the net yield to us is higher than the market would anticipate for banks as a whole. I don’t know if that’s a helpful thought or not.
Frank Schiraldi – Sandler O’Neill: No, it is. Thanks for that. I’m trying to just, I’m looking at my model here and I’m wondering wouldn’t we expect to see tax rates go down significantly if all these municipals are being put on the books? Is that something that down the line or next quarter we could see a bit less of a tax rate?
Paul Frenkiel: Well, there’s no question but the issue is that we’re producing so much income that as income increases you have to ratchet up tax free income just as much to even stay even. So that’s why our tax rate has been going up because our earnings have been going up more rapidly. But yes, there should be some of that impact because now we’re buying more yield-y securities. Before we were buying very short term. Before the uptick in rates we were buying primarily 2014, 2015, and 2016 maturities; now we’re going about ten years and earning 4.0% as opposed to 1.0% or 1.5%.
Betsy Cohen: So it could but we’re not saying that that will happen next quarter is I think what Paul’s saying.
Paul Frenkiel: Exactly. It takes a while. The issue in the municipal market is that there’s not a lot of supply and there’s a fair amount of demand, so it takes a lot of work to accumulate a portfolio. But that said we are making progress this quarter already in terms of adding those types of bonds.
Frank Schiraldi – Sandler O’Neill: Okay, great. I have some more questions, I’ll just follow up offline. I don’t want to hold you guys up or other calls up as well. Thank you.
Betsy Cohen: Thank you for your good questions.
Operator: You have a follow-up question coming from the line of Matthew Kelley with Sterne Agee. You may proceed.
Matthew Kelley – Sterne Agee: Just to follow up on Frank’s question on the margin and just kind of incremental spreads, I mean if you think about a 4% yield on new money that’s twice your current securities yield. So is it fair to say that excluding Q1 where you get a lot of seasonality and a huge inflow of deposits and liquidity, the 2.46% margin this quarter, when we look out a year should definitely be higher. Again, put aside Q1.
Betsy Cohen: Matt, that is our goal, absolutely. We’re doing all of that, all of this work in a mix of securities and our targeted areas of lending. For example, in the leasing business we might have a yield of Paul, help me out – 7% roughly?
Paul Frenkiel: Yes, correct.
Betsy Cohen: Yeah. So we’re trying to target both the high yielding component of our business, which we have had very good luck with over a forty-year period together with a lower yield but much lower expense category in the security-backed lines of credit to aggregate partially toward net interest margin and partially toward more efficient operations.
Matthew Kelley – Sterne Agee: Okay, got it. And then can you just give us the dollar amounts of loans sold in the mortgage banking business, the CMBS business so we can understand the types of yields again on sales margins that you’re experiencing?
Betsy Cohen: Sure, I’ll be glad to give that to you offline; I just don’t have it in front of me.
Matthew Kelley – Sterne Agee: Alright, thank you.
Operator: Your next question comes from the line of Patrick O’Brien with Fox Asset. You may proceed.
Patrick O’Brien – Fox Asset: Could you tell me some more about what’s going on with credit? A 9.5% provision I reckon is a 197 basis point provision annualized. That’s a very big number this late in the game. How long is this going to linger?
Betsy Cohen: If I had the answer to that I would give it to you, but as we’ve said before we’re reluctant to be predictive at any time. We think we’ve identified our issues within the portfolio and hope to as quickly as possible get them behind us. But I’m not going to be predictive about that, sorry.
Patrick O’Brien – Fox Asset: What’s taken so long? It sounded like you discovered that the collateral is less than the loan value, but collateral values aren’t going down. Why has it taken years to uncover this?
Betsy Cohen: I think that these were all loans that were performing that appeared to be in businesses that were healthy, and the businesses may (inaudible) be less healthy today than they were six months ago. And so we’re taking actions that we think are appropriate.
Patrick O’Brien – Fox Asset: Okay, thanks.
Operator: Your next question comes from the line of Jeff Bernstein with AH Lisanti. You may proceed.
Jeff Bernstein – AH Lisanti: Yes, I just wanted to follow up a little bit more on the transaction processing side of the business. I think you talked about having a couple of large institutions in Europe that would be coming online Q3/Q4. I just wanted to hear about what the progress was there.
Betsy Cohen: Sure, Frank?
Frank Mastrangelo: Yeah, absolutely. I think we’re making good progress in Europe, the business there. We’re lining up a relatively nice pipeline, both of European Program Managers and have some verbal commitments – some from our US clients to follow us there. We have a handful of existing portfolios we expect we’ll convert to sometimes Q4/Q1 which will be very nice. The existing portfolio I think as we’ve talked about on Paul’s previously, they add volume immediately – that means they add revenue immediately. So those are very, very attractive relationships and conversions to have in the pipeline.
Jeff Bernstein – AH Lisanti: And those resulting consumer accounts, they’ll be insured under the European deposit scheme?
Frank Mastrangelo: It really depends country-by-country whether or not they qualify for the deposit scheme insurance or not. So there’s some that will and some that won’t, not unlike the US market quite honestly where reloadable cards are typically included; non-reloadable cards are not part of the deposit insurance scheme, not FDIC insured.
Jeff Bernstein – AH Lisanti: Gotcha. And then on the healthcare side, what are you sort of anticipating as we move forward on Obamacare or don’t? There’s a lot of shifts it looks like to plans with pretty high deductibles out there and I guess one of the solutions people are talking about is greater use of health savings accounts, etc. There’s some volatility obviously on the policy side so what are your thoughts about all that?
Betsy Cohen: I think that Frank and I don’t always agree on this so given both sides of it as you just did, we, the population that will increase significantly may be the younger population that doesn’t save. To the extent that employers migrate to higher deductibles and they are with a population that can afford to save, we think the health savings account is a reasonable and will be a reasonable alternative. But there are so many variables up in the air including people’s sentiment towards this that it’s really hard to make a real sound prediction.
Frank Mastrangelo: Yeah, I would just reiterate that with all the delays in implementation and potential policy changes it’s very, very hard to be predictive. What I can tell you is we’re looking across the state-based exchanges and some of the private exchanges we see developing – high deductible health policies are on the majority of those exchanges. We think that that’s a good trend for the industry as a whole. That’s kind of the first step in getting to be selected from anyone getting pushed to those exchanges.
Jeff Bernstein – AH Lisanti: And it almost seems like the private exchanges are kind of moving ahead regardless of the Obamacare, right? Corporations, the genie’s gotten out of the bottle and they want to get out of providing healthcare so they want to move to these?
Betsy Cohen: I think that that’s right but the timing is really up in the air. For example, one of the reasons that some portion of the healthcare implementation was delayed was that the federal government had not put in place a credit instrument or a debit instrument which is required to be offered under – or relationship, not instrument but relationship which is required to be offered under the regulations. And so they just had to put it off because people were not able to buy through with their debit or credit cards which reduced the cost. So there are execution risks, not risks but timing issues here that are absolutely unpredictable.
Jeff Bernstein – AH Lisanti: Okay. And then lastly you talked about overlay services to program managers not linked to GDV. Can you just give some examples of that?
Frank Mastrangelo: Sure. There’s a whole slate of services. So for example, Bancorp integrates directly with a series of load networks, bill pay providers, mobile remote deposit providers; a series of other services like that. So rather than the PMs, a new PM or an existing program looking to add a service onto their program, rather than them sourcing that themselves we’re attempting to channel them through us and our existing integration we already have – which means no speed to market increases for the PM, things like that. And that effort is beginning to bear fruit.
Jeff Bernstein – AH Lisanti: Okay. And then lastly is there any visibility on marketing of the mobile wallet capabilities by your partners? Or you just don’t know when that’s going to happen?
Frank Mastrangelo: Yeah, I’d say that they all continue to iterate their products and are continuing to enhance consumer value, the consumer value proposition; continue to test various things. When do they really press the marketing hard? We really can’t predict when that will be.
Jeff Bernstein – AH Lisanti: Great, thanks so much.
Operator: Your next question comes from the line of Andrew Wessel at Sterling Capital Management. You may proceed.
Andrew Wessel – Sterling Capital Management : Yeah, I’m sorry – I missed the very beginning of the call but I was just wondering if you had any kind of outlook for what GDV is going to be for the rest of the year? I think last year it was a little bit clearer I guess and you could give kind of some numbers on that.
Frank Mastrangelo: Yeah, last year we were in a much better position to be predictive as to what a range would look like for the year. This year we expect increases to be very, very spiky and it’s a much harder year to predict when conversions or transfers or those business spikes will occur. So what we’ve continued to say is we’ll outperform the relative growth of the space and industry but it’s much harder to be predictive about providing a range or number where it’ll land for the year this year.
Betsy Cohen: We can tell you as soon as we know, you’ll know.
Andrew Wessel – Sterling Capital Management : Okay. And so are you still thinking the industry growth number is still around 30% this year?
Frank Mastrangelo: Yes, we are.
Andrew Wessel – Sterling Capital Management : Okay. And then as we look out at this longer term, one of your biggest competitors is still sidelined. Is this something that you’re still seeing in your pipeline where you’re the vendor or choice here? Does your pipeline growth feel… I guess can you put any kind of sizing around it, just so we can think about this longer term? Obviously your one competitor is probably not going to be sidelined forever. It’s been a very, very long time, fortunately for you all but as you think of the growth of the industry and what you’re kind of expecting there, and then what your share of it’s going to be – if you can help me frame that at all, just taking a longer-term view? As we’re looking at 2014, 2015, this is a new industry that’s growing very quickly but kind of what your thoughts are as far as you think about that going forward.
Frank Mastrangelo: Yeah, absolutely. Look, I think that the industry can continue to grow at that 30% plus clip for the foreseeable future. There’s still lots of pools of cash- and paper-based payments and that’s really what’s propelling the industry – the emergence of expensive, inefficient cash- and paper-based payments shifting to more cost effective and traceable and trackable electronic payments. That’s a trend I think that’s going to continue to propel the industry at a very, very healthy growth rate forward. I think what we certainly are seeing, there are fewer existing portfolio conversions at least in the US market today. So more of what we’re seeing in the pipeline today is new entrants into the space, some of them being large companies moving into payments for the first time – so not unattractive partnership situations but relationships that might not have the immediate impact that that portfolio conversion, existing business with volume and revenue associated with it has when it converts.
Andrew Wessel – Sterling Capital Management : Okay, great. Thanks.
Operator: There are no further questions in the queue at this time. I would now like to turn the call over to Ms. Betsy Cohen for closing remarks.
Betsy Cohen: I would just like to say thank you to all of your for asking excellent questions as you always do and we look forward to talking with you again next quarter. Thank you.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Have a great day!